Operator: Good day, and thank you for standing by. Welcome to the Science Applications International Corporation FY 2025 Q4 earnings conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during this session, please press star one one on your telephone. You will then hear an automated message advising you your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Joe DeNardi, Senior Vice President, Investor Relations and Treasurer. Please go ahead.
Joe DeNardi: Good morning, and thank you for joining Science Applications International Corporation's fourth quarter fiscal year 2025 earnings call. My name is Joe DeNardi, Senior Vice President of Investor Relations and Treasurer. Joining me today to discuss our business and financial results are Toni Townes-Whitley, our Chief Executive Officer, and Prabu Natarajan, our Chief Financial Officer. Today, we will discuss our results for the fourth quarter of fiscal year 2025 that ended January 31, 2025. Please note that we may make forward-looking statements on today's call that are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from statements made on this call. I refer you to our SEC filings for a discussion of these risks, including the risk factors section of our annual report on Form 10-K. In addition, the statements represent our views as of today, and subsequent events may cause our views to change. We may elect to update the forward-looking statements at some point in the future, but we specifically disclaim any obligation to do so. It is now my pleasure to introduce our CEO, Toni Townes-Whitley.
Toni Townes-Whitley: Thank you, Joe, and good morning to everyone on our call. I want to start with a heartfelt thank you to my colleagues at Science Applications International Corporation for their focus, dedication, and empathy amidst a dynamic operating environment for the company and our customers. The strong financial results we delivered to close the year reflect our commitment to driving improved mission outcomes for our customers. I'll now provide an update on current market conditions and our perspective on the risks and opportunities from the administration's focus on accelerating the deployment of technology to drive greater efficiency across the government. To date, the financial impact to Science Applications International Corporation from recent executive orders and program cancellations across the government has been nominal, and our conversations with the administration to date have been productive. However, given how dynamic the environment has been, we believe it prudent to be prepared should conditions change. Prabu will discuss in greater detail in his remarks some of the actions we have taken to date. While our base case does not assume a meaningful change in the size of our addressable market in the coming years, we do expect changes to the procurement environment that will place a greater emphasis on mission criticality and the infusion of cutting-edge technology as well as outcome-based contracting. We view this as an acceleration, perhaps a rapid acceleration, of prior trends and one that our strategy and investments are designed to address. On slide four of our earnings presentation, we have shared several examples of programs which demonstrate our ability to build and integrate technology at the speed of the mission. I would like to call out a few of those examples today. For Customs and Border Protection, on the task PD program, we've rolled out facial and touchless fingerprint technology to over five thousand ICE agents, fully integrated with our cloud, machine learning, and AI capabilities, to rapidly identify shipments and travelers more efficiently and accurately for additional inspection. We have redesigned the license plate recognition system to a flexible open architecture system, which has relieved the agency from legacy vendor lock and has made seven hundred of these deployed systems configurable to weather conditions across more than one hundred of the busiest land border crossings and US border checkpoints nationwide. For the Space Force, on our GMAS program, we have leveraged our digital engineering and on-demand software development solutions to sustain and upgrade various radar systems in the United States and around the world at rates quicker and cheaper than the legacy providers. Our performance has contributed to GMAS ramping to full run-rate revenue faster than we had originally anticipated. In our commercial operating sector, we have a menu of offerings that customers can purchase on commercial terms. Revenue from our commercial operating sector has increased from less than one million in fiscal year 2022 to approximately forty-five million in fiscal year 2025 and a goal of approximately one hundred million by fiscal year 2028 with healthy margins consistent with commercial terms. Our top-selling offering is our DevSecOps sprints, which provide a skilled team of software developers ready to deploy, rapidly fix, and leave when the project is complete, typically in two-week increments, making them cost-efficient and agile, effectively sprints as a service. What makes our teams uniquely positioned to deliver this value is our role as a mission integrator with intimate and irreplaceable knowledge of customer missions. In other words, gritty tech, which underpins our legacy and undergirds our future. Lastly, we are currently assessing our cost-plus portfolio to determine with some specificity and appropriate guardrails how much of this work could transition to fixed-type contracting over time. As we have shared, we have performed quite well within our fixed-price portfolio over the years, beginning with our acquisition of Unisys Federal in fiscal year 2021. Our initial view is that a significant portion could migrate to fixed price over time, assuming that the scope of work is well-defined and opportunities for cost-plus carve-outs still exist. This is an opportunity for our industry and the right thing to do for our customers. I'll now provide an update on our enterprise growth strategy and business development trends. We delivered net bookings in the fourth quarter of $1.3 billion and $6.6 billion in fiscal year 2025, for a book-to-bill of 0.9. Not included in fourth-quarter bookings since it was awarded subsequent to quarter close, Science Applications International Corporation won the $1.8 billion system software lifecycle engineering contract, which is the next iteration of the software lifecycle development program, one of Science Applications International Corporation's largest programs by revenue. I am proud of our team at Huntsville for their efforts in securing this important program and for the continuation of our long-term relationship with the Army. As we show on slide five, we submitted bids totaling $28 billion in fiscal year 2025, well ahead of our initial plan of $22 billion. Our backlog of submitted bids increased to just over $20 billion at year-end, on a trailing twelve-month basis, over half of which is currently expected to award over the next two to three quarters. Our win on SSLE and our strong backlog of submitted bids provide visibility into driving our book-to-bill to our target of 1.2 by the first half of FY 2026. Of course, subject to the caveat, the timing may be impacted by the ongoing uncertainty facing our customers. While there have been some recent examples of procurement timelines being extended, it has not been broad-based. In addition, it is important to remember that procurement delays, while generally a headwind to bookings, also prolong recompete schedules such that the net effect to revenue and earnings will be far less material. I will now provide a review of our fourth quarter and full-year financials. We reported fourth-quarter revenue of $1.84 billion, an increase of 6% year-over-year, driven mainly by new program wins and on-contract growth, which offset program completions. Full-year fiscal year 2025 revenue of $7.48 billion represented 3.1% organic growth, which is at the high end of the guidance we provided at the start of the year. Fourth-quarter adjusted EBITDA of $177 million resulted in a margin of 9.6%. For the full year, adjusted EBITDA of $710 million produced a margin of 9.5%, which was 20 basis points ahead of guidance due primarily to strong program performance and lower incentive compensation expense compared to the prior year. Adjusted diluted earnings per share was $2.57 for the fourth quarter and $9.13 for the full year, benefiting from the strong operating performance and a lower effective tax rate. We delivered free cash flow of $236 million in the fourth quarter, resulting in free cash flow per share of just over $10. As Prabu will discuss, we expect to achieve our target for free cash flow per share of $11 in fiscal year 2026 and $12 in fiscal year 2027 and believe we can accomplish this in various revenue scenarios. Again, I want to thank everyone at Science Applications International Corporation for the dedication they've shown to the company, one another, and our customers. With that, I will turn the call over to Prabu.
Prabu Natarajan: Thank you, Toni, and good morning to everyone joining our call. I will focus my remarks today on our financial guidance for FY 2026 and an update on our capital deployment plans. We are guiding revenues to a range of $7.6 billion to $7.75 billion, representing approximately 3% organic growth at the midpoint. As we detail on Slide eight, we expect growth to accelerate from 1% to 3% in the first half to 2% to 4% in the second half. This cadence is driven primarily by the timing of recompete headwinds, which are more pronounced in the first quarter and ease through the year. Our guidance assumes a roughly two-point headwind from recompete losses, primarily related to a NASA program exited our business in October. In addition, we expect a roughly $200 million headwind related to low-margin Air Force CloudOne compute and store revenue, which we chose to no-bid that will be spread evenly through the year. We expect these headwinds to be offset by a fairly even contribution from the continued ramp-up on previously won new business, including tCloud, DTAM, CBC2, and on-contract growth across a number of programs. While our guidance assumes no material disruptions resulting from the government's ongoing efficiency initiatives, we are preparing to respond with actions aimed at producing similar EBITDA and free cash flow if we see incremental revenue pressures. For EBITDA margin, we are guiding to a range of 9.4% to 9.6%, an increase of 10 basis points driven by strong program performance, efficiencies from internal process improvements, and incremental scrutiny on investments given the uncertain revenue environment. As shown on slide ten, we expect this trend to continue into FY 2027 with margins improving an additional 10 basis points to a range of 9.5% to 9.7%. We are guiding adjusted diluted earnings per share to a range of $9.10 to $9.30, largely due to increased earnings and a lower share count offset by a higher effective tax rate of 23%. Free cash flow of $510 million to $530 million should translate into approximately $11 per share, and we continue to have good visibility to $12 per share in FY 2027. We expect to repurchase between $350 million to $400 million in FY 2026 and 2027 while maintaining sufficient capacity for capability-focused M&A or additional share repurchases. This is unchanged from our prior framework. We are further refining our incentive compensation plans to ensure alignment with our investors. For FY 2026, plans for all eligible employees will be based on enterprise-wide performance versus the prior plan, which blended enterprise and business group performance. As we focus on our strategy to more efficiently allocate capital across the company and operate as one Science Applications International Corporation, we believe aligning behind a single scorecard will enhance the push. Finally, as you will see in their upcoming SEC filings, several members of the executive leadership team have indicated an intent to make a discretionary purchase of Science Applications International Corporation shares in the near future to further align our team's interest with those of our shareholders. I'll now turn the call over to begin Q&A.
Operator: A question at this time, please press star one one on your telephone and wait for your name to be announced. We ask that you please limit yourself to one question and one follow-up. One moment for our first question. Our first question is going to come from the line of Colin Canfield with Cantor Fitzgerald. Your line is open. Please go ahead.
Colin Canfield: Just making sure we understand the $1.8 billion recompete. Can you talk us through how that impacts book-to-bill for the future quarter?
Toni Townes-Whitley: Sure. Good morning, Colin. Thank you for the question. And, again, let me just reiterate how pleased I am with the Q4 results and having this award as well as a pending award backlog that we have shared through our results. On SSLE, on this particular win, from a trailing twelve-month perspective, this win would get us close to the 1.0 trailing twelve-month. You heard us report at 0.9 prior at the quarter or year-end close. So that would be the impact on the trailing twelve-month. Obviously, we see this as an important continuation of our relationship with the Army Aviation and Missile Command and, quite frankly, not only the win but also the ongoing work that we expect on this contract, I think, sets us up fairly well for this part of the business.
Colin Canfield: Got it. And then maybe talking about the incremental submit increase, so it goes from $22 billion to $28 billion. Excuse me. Can you just talk a little bit about what was in that incremental $6 billion of submits and where do you feel that Science Applications International Corporation has a right to win on those incremental wins or incremental submits? Excuse me.
Toni Townes-Whitley: If we're talking about the increase from $22 billion to $28 billion, look, we think there's a combination of reasons for that, including the efficiency of having standardized our business development function using an enterprise operating model that drives that, and we talk about it in terms of not only bid more, quantity, but also bid better. The nature of those bids being on strategy and, quite frankly, marginally accretive to prior bids. When we look at that pending plan right now, about two-thirds of that pipeline that we are waiting to have awarded in adjudication is in the Mission Enterprise IT arena. About two-thirds of that is new business. The third is recompete. So we feel balanced in both the new business recompete component as well as that this is the strategic area that we put in place in our 2024 growth strategy and that the majority, again, over two-thirds of our pipeline, are in these strategic areas of our portfolio.
Prabu Natarajan: Got it. And then and just maybe Colin. Hey, Colin. The only thing I would add to that would be that, you know, the margins that are implied in the submissions are also higher than, you know, current company-wide margins. So, therefore, that's the other side of this that we're pleased to see that we're continuing to move core margins up with the business.
Colin Canfield: Got it. Got it. Yeah. Definitely understood that algorithm. Maybe just last one for me before I get back in the queue. Focusing on so if I think about this bid pipe, can you just maybe talk a little bit about the nature of the budget dollars in this bid pipe and whether it's tied more to FY 2025 or FY 2026 budget?
Toni Townes-Whitley: The nature of the budget dollar in the submit pipeline, meaning for the submissions for this year. Look, we're That's right. We've got as we look at this year, the way we understand the CR that's in place for the year, we believe that there's some flexibility. In that CR that we have not seen in previous continuing resolutions. So when we think about the ability to have new starts, the ability to have flex across the defense, particularly Department of Defense and Intel sectors, we feel strongly that our current pipeline as submitted is competitive, can be funded in this environment, and it's sufficient, quite frankly, to drive to the 1.2 book-to-bill that we have been putting forward as our first-half exit in book-to-bill. So right now, we feel pretty strong about that. Obviously, we're on a daily basis. The CR information came in last week. We are staying on this on an every twenty-four-hour run here. But and we'll update if any conditions fundamentally change. But right now, we feel fairly solid.
Colin Canfield: Got it. Thank you.
Operator: Thank you. And one moment for our next question. Our next question is going to come from the line of Jason Gursky with Citi. Your line is open. Please go ahead.
Jason Gursky: Hey. Good morning, Toni and everybody else. Toni, quick question for you. You emphasized a bit the potential for some mix shift ahead of you from cost-plus to firm fixed price. I'm just kind of curious how that will work mechanically for you all as you've done that analysis. Is there the potential that we see higher margins but lower revenue? Is that one of the things that you've kind of discovered as you've gone through that analysis?
Toni Townes-Whitley: Look, we're and thanks first of all, for the question, Jason. We've been doing that analysis for a number of quarters. Quite frankly, we have looked at opportunities to move our cost-plus contract into more of a fixed-price environment. We see the upside as well as we understand the additional risk. What it requires for us we probably spend more time making sure that we have the frame for what we call service level agreements, very clear agreements with the government of what success looks like measurable. We've seen in our civilian business, which you see a good portion of fixed-price work in our civilian business, that we've been able to not only compete and win that business but also deliver it in at higher margins and continue to be competitive in that space. So we feel like we can we have a lot that we can if you will, transfer from that civilian business into other parts of our organization into other business groups for fixed price. And right now, I don't know if we have the assumption that revenue would necessarily decline. I think more we probably see it more as a margin improvement. Opportunity with the appropriate execution, with the appropriate guardrails as it relates to service level agreements with the customer. Not yet a revenue impact that we see to date. Prabu, any thoughts you might have there?
Prabu Natarajan: Hey, Jason. The only thing I would add to that would be the transition from cost to fixed price will depend on the customer and the current contract vehicles. If we assume that invasive changes occur in the procurement environment, you're gonna likely see the transition happen sooner than, you know, one might reasonably expect. On the other hand, by and large, we expect the transition to happen as things come up for renewal, as we introduce more fixed-price work inside of existing cost-plus work. So I think I suspect it's going to be more gradual. And to date, the extent that it happens a little bit sooner, in theory, what that would imply is that you will have less cost as a contractor and higher margin percentages. And therefore, arguably, perhaps an impact but the reality is I think we expect the transition itself to be gradual and we'll be working with our customers to facilitate the transition whenever we think that is in our best interest and the customer's best interest. So it's an ongoing process, so stay tuned.
Jason Gursky: Right. Okay. That's helpful. I appreciate that. And then my follow-up question, I just has to do with risks and opportunities around, you know, what we've all been reading in the headlines at DOD. Where they've got I think the list is something like seventeen protected capability sets then they're asking the rest of the building to go find percentage. I think the headline number's been eight percent. So in cuts so that they can reallocate freed-up money through those efficient to support those core seventeen or so capabilities. So just kind of curious as you assess the portfolio and the things that you have in your pipeline and your bid submits where the risks and opportunities are there for you, those protected areas, where do you have exposure, and where do you think you might have some risks on the areas that are asked being asked to enter seed cuts? Thanks.
Prabu Natarajan: Hey. Hey, Jason. Thank you for the question. And, obviously, great one. I'll take the first crack at it and let me just chime in here. In terms of the protected capability sets, I think part of the message that we're communicating is that if a program is considered mission critical, then you're likely to see programs like that continue in an environment like this. And I think that's why instead of trying to figure out is there know, sort of a capability set match to the existing portfolio, just selecting the right targets continuing to invest in capabilities that we believe are broadly needed across the customer landscape. Is the right way to do it. So we are focused on making sure that the programs we're bidding on and executing on are mission critical. That we could do them effectively and execute well, because we all know that in a constrained budget environment or where reallocation decisions get made, we that underperforming programs are likely to see the brunt of that. That is just history in this business as you know from a from decades here in the industry as well. So the reality is that's the focus right now.
Toni Townes-Whitley: And while we are investing in critical areas that are relevant to the seventeen or so critical mission sets, I think our fundamental focus is we executing and delivering mission-critical capabilities to the customer? And I guess I just summarize that back to the data point that I gave initially. Over two-thirds of our submit portfolio or pipeline for this year is in mission-critical. Mission IT, and enterprise IT capabilities. That are driving directly towards mission programs and or the IT technical ways. And so this is where we tend to look at it in terms of the portion of our portfolio that we are bidding that is driving mission-critical outcomes, and that we believe will be durable. That funding will continue to be durable and that we're well positioned in that space.
Jason Gursky: Great. Thanks. Appreciate it.
Operator: Thank you. And one moment for our next question. Our next question is going to come from the line of Matt Akers with Wells Fargo. Your line is open. Please go ahead.
Matt Akers: Hey, guys. Good morning. Thanks for the question. I wanted to ask about hey. Good morning. One of the pushes from this the government efficiency initiative is, you know, we've seen a lot of layoffs of sort of the federal you know, workforce. So I'm just curious how you think about that. Is there a portion of your business that's maybe exposed to that as a risk in the near term that maybe there are fewer people to support even if, you know, longer term, know, potentially maybe there's an opportunity for you to pick up some of that work. It's kinda how you think about that. Dynamic for Science Applications International Corporation.
Toni Townes-Whitley: Yeah. Hey, Matt. I think it's a fair it's a fair question. Obviously, we're tracking all of the various initiatives coming out of DOD and other parts of the administration that affect program by program, agency by agency. To date, we've not seen a the been fairly nominal. We have not seen a significant impact. I think we are also prepared and working with our customers directly as their personnel changes or the, let's say, potential cuts in their workforce. How do we support them on the ground? With ongoing continuity of, if you will, business operation I think many of us see that as both risk and opportunity as you mentioned. Where we they may be the contractor staff that may be part of the ongoing continuity of those government operations, both midterm and long term, So we are very close to our customers right now and providing them all the support that they need and understanding what personnel cuts mean for them and for their particular missions. I would say there's no one unique area that we that has stood out as a specific You know what our footprint is in civilian, and in our civilian agencies, particularly, we are in mission-critical cabinet agencies that have not had major cuts to date. But we are obviously tracking. Against that.
Prabu Natarajan: Hey, Matt. The only thing I got after that is you know, we continue to have productive discussions with our counterparts. And focused on mission criticality and what agencies we're serving and and and to, you know, to suggest that there's gonna be no impact from any of this would like be viewed as naive. And the reality is there are so many mixed signals we get every day. From a variety of different sources that it's hard to react to every one of them. So just being able to zoom out a little and think about big picture underlying trends I think it's probably the right posture for us. So think that's why we're back to very much focused on what we do has to be mesh mission critical. To justify the investments we're making in the organization as well as generating good ROI. Replicability of solutions across the landscape, that is a really important part of the investment thesis we have inside the company. And our view is if we do those two things effectively and make smart capital allocation decisions, we're gonna ride this out as uncertain as these times are. So that's sort of how we think about. It.
Matt Akers: Yeah. Got it. Thanks. And I guess as a follow-up. So the two percent to four percent organic growth this year, could you talk about your backlog, I guess, is down year over year. We're operating So I guess, how much of that is already in backlog or how much maybe do we need maybe new work to come through to get to that two to four percent level?
Prabu Natarajan: Great question, Matt. I would say, you know, a very high percentage of that two to four, I would say probably north of seventy-five percent right now. I would I sort of round it up a little bit and say about three-fourths in backlog We are not relying on a ton of new business revenue in the year. I think our submit plan and our book-to-bill for the year suggest that we expect to have a good year on book-to-bill, but overall, we're not expecting a ton of incremental revenue. I think you're exactly right to be you know, tempered in the question, which is in a CR environment, how much of a go-get is there? And I think our operating plan for the year is very much on contract growth operating plan. With some higher targets this year relative to even our performance last year, which I thought was a pretty good on contract growth here. So I think that's the name of the game for the near term. And, hopefully, we'll start to see some awards come here over the next couple of quarters and hopefully sets us up for the second half and, you know, into FY 2027.
Toni Townes-Whitley: No. I think that was I think Prabu, that was it. That was spot on. And, again, staying close to the customers a very solid Q4 close on program execution in every dimension continuing that into the year. And the some contract growth expectation has increased year over year in this environment. We obviously want to be in the right places that are being funded. That are being that are deemed mission critical, and quite frankly, bringing commercial solutions and using our commercial operating segment even more is our expectation this year to introduce more if you will, technically, state-of-the-art capability into these mission areas, and that's probably an area that's another lever that we've been able to exercise over the last couple of years. You'll see even more of that this year.
Matt Akers: Yeah. Yeah. Thanks. Oh, yeah. If I could do one more. I guess you know, seasonality, you talked about the first half being a little bit slower. Is there seasonality, like, within Q1 versus Q2? Do we start out slower? And do you think know, kind of both quarters will still be positive growth? Or could we go ahead to negative and then accelerate from there?
Prabu Natarajan: Yeah. Yeah. Fair question, Matt. I think, you know, with all of the health warnings that come with quarterly level guidance, and I think we do our best to try to estimate what these trends look like, and think we're seeing a little more in the way of recompete headwinds in Q1 relative to Q2. And for example, C4ES, which is a recompete in less that we lost in Q1 of last year, will actually lap out at the end of Q1 of this year. So in theory, that would suggest that Q2 ought to be better than Q1. But candidly, with you know, eighteen million dollars being one percent to revenue in a quarter, the reality is that's easy to move the dial inside of a quarter and between quarters. So with the caveat that things, you know, you know, are going to move ground a little bit, I think it's fair to say, you know, fewer headwinds in Q2 than even Q1.
Toni Townes-Whitley: Right. But growth in both I mean, the idea of H1 over H2 or H2, if you will, over H1 in terms of higher growth, we do anticipate growing throughout the year. And combination of how we grow, as Prabu has mentioned, as well as we do see some movement to the right on recompete. Across the government. And so we're looking at and understanding what that may mean for our year as well as we push out some recompete risk towards the end of the year.
Matt Akers: Got it. Alright. Thank you.
Operator: Thank you. One moment as we move on to the next question. Our next question is going to come from the line of Gavin Parsons with UBS. Your line is open. Please go ahead.
Gavin Parsons: Hey, guys. Good morning.
Toni Townes-Whitley: Good morning, Gavin.
Gavin Parsons: Sounds like there is still, you know, a lot of uncertainty and, like, probably you mentioned the mixed signals and appreciate you guys are being very proactive Anything specific that gave you confidence to raise the low end of the twenty-six guidance in light of that?
Prabu Natarajan: I would say here's maybe how we think about this, Gavin. I think the signals are very mixed. And then we look at what do we actually know as we go into the sprint. And as Toni, I think, absolutely correctly summarized it, the impacts are phenomenal. And then we look back to say, how do we end the year And and I think we we forget that we grew about a little over four percent in Q3. Close to six percent in Q4. And candidly, we've grown above five percent, probably fifty percent of the last eight quarters. And so I think the the the actual organic growth thesis is intact, and know, our teams are doing a good job you know, scouring and figuring out how to grow this business organically. Absent, you know, new large recompete wins. And that OCG machine is working effectively. And that doesn't mean any of this guidance is a gimmick. It just means that we are betting on ourselves a little bit to say, can we keep the momentum up? And I think we're keen on delivering you know, solid OCG. And if something changes, you know, you know our reputation we'll be the first to come out and say we're seeing some headwinds. But we're not seeing those just yet.
Gavin Parsons: Great. Yeah. No. I appreciate all the transparency. I mean, Does it feel like visibility is improving or day by day that things are getting increasingly less certain?
Toni Townes-Whitley: Gavin, that's that's a great question. Right there. And I look, I think we we obviously, we are tracking this on a daily basis basis, but we are I think whenever messages get compounded or reinforced, start to feel a little bit better directionally. Obviously, having a CR in place for the year set some expectation. It does actually offset some of the volatility by acknowledging that we have a CR in place and a CR that has flexibility more than what we seen in prior years. So that, I would say, is a is a net positive in terms of just stabilizing our environment, helping us helping us make good decisions going forward. Think the other there's education going on, and I think as we engage both with GSA and other parts of the government, we've been able to clarify the work that we do, explain where Science Applications International Corporation fits in this ecosystem, explain the mission criticality of our work as well as some of the technical work that we do to support at an enterprise IT level And I think with greater explanation, you it'll start to, if you will, bring down some of the, more knee-jerk reactions that all of us have had over the last few weeks. And so I actually feel like it's moving towards a little more stability, not to say there won't be new initiatives that are introduced, but we are seeing at least some coalescing around clarity on the CR, clarity on flexibility within the CR, clarity on who Science Applications International Corporation is, engaging with the new administration, And as they learn more about who we are, I think it's gonna become very, very clear on the mission role we play.
Gavin Parsons: I appreciate it.
Operator: Thank you. One moment for the next question. Our next question comes from the line of Seth Seifman with JPMorgan. Your line is open. Please go ahead.
Seth Seifman: Hi. Good morning. This is Rockwell on for Seth.
Toni Townes-Whitley: Hi, Good morning.
Seth Seifman: The prior goal was to increase the share of civil However, with the spring priorities of this administration, does the strategy still make sense? Or will Science Applications International Corporation shift the focus more towards defense and intelligence work?
Toni Townes-Whitley: When you I'm sorry. Could you repeat the first part of your question? I'm I heard the last part. Excuse me, Rob.
Seth Seifman: Yes. Sorry. With the prior kind of focus being on increasing the share of civil work, but with this administration's kind of focus on cutting the civil budget and moving more towards defense. Is Science Applications International Corporation's strategy kinda shifting with that administration?
Toni Townes-Whitley: No. We haven't made a shift to strategy to date. I mean, our civilian work is just around twenty percent of our overall portfolio. We have done well at civilian, as you can see, is a reportable segment at a very, very solid year this last year. If you look at the footprint of where we are within civilian, we're in mission-critical spaces around five to six key cabinet agencies that are continually going to be funded. We believe and particularly in the mission areas where we find ourselves. So it isn't I'm not gonna say that we are bullish. I would say, of course, we're watching the market to see if there are any fundamental changes. But right now, our strategy was a strategy that focused on a portfolio shift to enterprise and mission IT across our portfolio, which we are accomplishing as we look at our pipeline moving to two-thirds more than two-thirds in those areas. And as civilian was a growth sector, where we are in civilian, we have been growing and we expect to continue to grow if we see a fundamental shift. Obviously, we will pause and reevaluate. But right now, we feel like given where we're positioned, we'll hold with the strategy that we put in place.
Seth Seifman: Right. And building on it, how should we think about segment growth between civil and defense this year and moving forward?
Toni Townes-Whitley: I'll check. Relatively, you mean civil versus our other business groups? Look, I mean, certainly, we had a phenomenal year this year. I think I'm sorry?
Seth Seifman: Oh, yeah. I yes.
Toni Townes-Whitley: Oh, yeah. Okay. Yeah. Okay. We're in agreement. Great. Simple had a great had a great year, and they are part of our our overall expectation to continue to grow particularly in the on-contract growth arena. They also have a pretty significant part of our pending award. Pipeline as well or backlog as well. I think that when we look at it, we do expect that the growth rates relative to the market will be higher in defense. And intel than civilian on the growth side in terms not our growth rates, but the market and how spending will occur. But for civil, there's always the conversation about how we grow on contract, how we have a significant pipeline there, and how we are positioned in mission-critical areas. So my expectation is not a fundamental mix shift between civilian and defense in terms of our expectations of growth. Prabu, any thoughts on that?
Prabu Natarajan: The only thing I would add is, as you know, we do not provide guidance at the segment level. And I think it's fair to say that we see good prospects for growth in both of our reportable segments Three, the recompete headwinds and the decision to walk away from the low-margin compute in store is actually in our defense business. Specifically Air Force and Space and Air Force respectively. So I think if you sort of nominally adjusted for those headwinds, I would say both segments are gonna grow. The reality is I think we do have some known headwinds in defense and intel, and that's likely going to impact the relative growth rates which obviously will report as we cycle through the year But as you know, we do not provide specific guidance on the segments themselves.
Seth Seifman: Great. Thank you.
Operator: Thank you. And one moment as we move to the next question. Our next question comes from the line of Allen Page with Jefferies. Your line is open. Please go ahead.
Allen Page: Hi, guys. Thanks for the question. Maybe just on a contract basis, I think you had a favorable outcome on the FAA ATTEPs protest during the quarter. How are you thinking about that contract going forward? And more broadly with the FAA, how are you thinking about the funding support there given it's become more of a priority? Under the current administration.
Toni Townes-Whitley: Hey, Allen. Thanks for the question. Thanks for joining the call. Yes, you're accurate in terms of the favorable protest that extended our time on that contract and we are monitoring to see where that goes. We tend to not comment beyond what the initial government decision was. And so we're gonna continue with the expectation that we will be able to continue to deliver against that very important program for FAA. I had the opportunity to spend some time with Transportation last week and can see his focus, Secretary Duffy, on all things related to FAA and modernization and that program is, I think, critical to that effort. So right now, we feel like we're gonna continue to deliver against that program, and we're seeing it as part of our ongoing work this year.
Prabu Natarajan: Allen, the only thing I would add is, you know, we do provide air traffic training, controller training programs through our CTS program. And you know, I think it's fair to say that we should expect to see higher volumes specifically from that program because we do see that area as a priority for the FAA beyond ATEPs.
Allen Page: Great. Thank you. And then on the S3I recompete that you went after, closed, I think that's the first of four. Recompete you had or contracts you had. How are you thinking about the rest of that program? Coming up for bid in the next year.
Prabu Natarajan: I'll take yeah. Fair fair question, Allen. I remember that this is, like, deja vu I feel like Bill Murray a little bit, but so so we do have all four of them over the next several years. There's one that's probably furthest out in, you know, beyond FY 2028. The next two are know, in various levels of shaping and procurement. We are obviously, you know, focused on and ensuring that what we deliver is mission critical. And that we can improve our execution on a day in day out basis. So I would say fair to say that the procurements are generally staying on track? So I would say over the next couple of years, you'll see at least two of those four programs you know, come up where we can use And all of the Allen, all of the indications on our program reviews are that we are executing super well. Against those programs now from customers that to our day-to-day requirements. And so we feel pretty solid about our execution and our opportunity to be able to hold on to those programs going forward.
Allen Page: Great. Thank you. I'll hop back in the queue.
Operator: Thank you. One moment for our next question. Our next question is going to come from the line of Gautam Khanna with TD Cowen. Your line is open. Please go ahead.
Gautam Khanna: Hey. Good morning, guys.
Toni Townes-Whitley: Good morning.
Gautam Khanna: I wanted to ask if you could give us some anecdotes on the ground of you mentioned kind of nominal impact from the administration changeover in DOD. How does it manifest? How has it manifested across your business? If at all?
Toni Townes-Whitley: Well, Gautam, I think we could we could all acknowledge that we see delays in different parts of the business. Right? So I think more than do we see financial impacts at this point, fundamental financial impacts, we do see delays in delays could translate into having some kind of financial impact. Delays in contract actions, delays in obviously, pending awards that we're holding to that so the awards contract actions in our current footprint of work. And to be fair, on the ground, there are new players, sometimes personnel, are who have left the organization. We have new personnel to engage with. And we have to somewhat reset some relationships and norms given the changeover in various agencies. So I think there's an environmental set of conditions. There's a delay factor, and I think those are the two that are probably most notable. And the need, and I'm super proud of our team, the entire team, and my leadership team in making sure that all of the incoming leaders understand what Science Applications International Corporation does and the mission criticality of what we do.
Prabu Natarajan: Hey, Gautam. The only thing I would add to that would be you know, if we if we think about what seems to get some level of scrutiny, Contracts that are viewed as consulting arrangements where people fly in for, you know, two-hour meetings and fly out. I think those are likely to get a little more attention is, I think, the folks in the government are recognizing, you know, that's generally not what we do. We are mission-focused with people that have hands-on keyboard. Generally, not a core part of our business. I think the other thing that you'll likely see is is there a focus on simply, you know, buying and selling at higher profits to the government? In other words, think of these as sort of your fairly typical reseller agreements, that, you know, arguably, one might suggest, not a lot of ton of value at for the government So there's a little bit of focus there. Again, I think this is why as the administration sort of taking shape here and folks are getting acclimated to the kinds of work we do and the programs we execute on, think there's a recognition that perhaps the headlines are, you know, I would say a little more of a knee-jerk reaction I think as Toni exactly pointed out, there's a little more of an understanding of what it is we do, our role as you know, integrators putting together very disparate pieces of data and our and consumption patterns inside the government in a way that is cost-effective the government long term think there's a growing recognition of that. The uncertainty also manifests in you know, I would say, very conflicting emails You know, five of them over the course of, you know, forty-eight hours. And just knowing not to react to that or any one email. And just saying, can we just keep our heads about us and sort of navigate the environment together with our customer? Who frankly, also have the same level of uncertainty. So that I think an environment that is uncertain, and and and I think our, you know, priority is to not overreact and make sure that we're doing the right things for the nation, Walter.
Gautam Khanna: That's very helpful color. It I don't wanna put words in your mouth, but it sounds as though what you're describing is more a function of an administration change versus any sort of intervention on any given contract? To take away work or or end work. You're not seeing that.
Prabu Natarajan: Right? You're not seeing I so yeah, unfortunately, though, that probably would be putting words in my mouth. So I would just say, that it's by and large, you know, folks understanding during transition. And because of the change out in personnel, we're seeing know, a little bit of catch up in terms of just the base level of knowledge on programs. And I'd say the caveat on the second part of your question is, you know, we we just don't know what we don't know, and we're just watching to see how the environment plays out. So
Gautam Khanna: Fair enough. That's helpful. One last one for me. You know, obviously, this also this we look at by DOD and the new administration could actually be beneficial to the industry. Via more outsourcing eventually. I'm curious Also on the SPA side, have you seen any movement of foot to kind of maybe lower the threshold of small business set aside that kinda forces contractors like yourself to sub out a lot of work or to sub to as a you know, to a prime that the small business set aside. Any movement to put policy wise that could actually be beneficial to larger services firms like yourself. Thank you. Yeah. But
Toni Townes-Whitley: yeah. Gautam, the SBA set aside program has already gone through a number of if you will, reducing of the threshold for small business set aside. I believe five percent was the last that I saw, and that's still being discussed with the new administration. So we're always tracking this sort of what the threshold looks like. I think the more profound part of your observation and question is what are the opportunities for a company like ours in this new environment? And a combination of conversion of contract type, which has always been an interest to us in certain areas where we can and we've sometimes inserted fixed-price line items within existing cost-plus. But the idea of being able to move to more favorable contracting is we see as an opportunity. The opportunity to support the government if personnel reductions if you will, reductions in force and ongoing government operational continuity are at risk that we could be a partner to support in that regard. The opportunity to use more of our commercial operating segment to with new technologies coming in from different parts some some from the sort of defense side and other sectors. We wanna be able to use what we have been building in our portfolio to integrate some of the more state-of-the-art commercial technologies that exist. And we feel like we're an integrator that's really well positioned to do that. So there of course, we don't wanna be bullish about this environment from the perspective of there's no risk. There is absolutely risk, and there is volatility. And yet, we do see opportunity in every conversation we have balances those two. And gets proactive about being able to speak with our customers about opportunities even before they fully materialize. So I would say it's a balanced environment still eclectic. Every day is a new set of conversations and a new set of emails to Prabu's point. But it's gonna be how we manage ourselves through this. And I feel very, very fortunate to have a team on the ground as well as here surrounding them, our executive team, that is fairly unflappable in this kind of environment. We've been there. We know how to operate through it.
Gautam Khanna: Thank you very much, James. Good luck.
Operator: Thank you. One moment for our next question. Our next question is going to come from the line of David Strauss with Barclays. Your line is open. Please go ahead.
Josh Korn: Hi. Good morning. Thanks for taking the question. This is Josh Korn on for David. Wanted to, I guess, follow-up on a I wanted to follow-up on the on the last question. Last quarter, you highlighted, I think it was eleven percent of the business that's professional services related. Do you view any of that portion of the business at elevated risk given the current environment? Thanks.
Prabu Natarajan: Hey. Josh. Maybe I'll take the first part of it. So that eleven percent, you're you're exactly right. That includes our professional services. And embedded within it is actually the core part of our SEDA work. And so as we think about the eleven percent there, our SEDA portfolio has remained relatively stable here through all of the changes. And so know, not a lot of updates there. And I think, you're just we're just prepared to respond to the procurement environment, but you know, our CETA portfolio, as you know, is top top notch and the team's doing a fantastic job. Continuing to drive real value for their customers. And to Prabu's point, our understanding, Josh, is from our own customers here, is that our seed of the capability we provided deemed as mission critical by our customers. So we're not as concerned about that part of the portfolio given the designation our customers have given us.
Josh Korn: Okay. Great. Thanks. And then just wanted to ask about recompete overall. If you could give us any more specifics on on where you're running relative to the target and and what you're assuming for win rate, you know, next year and and the year after. Thanks.
Prabu Natarajan: Yeah. I'll take maybe the first crack at the one, and Toni just Mhmm. So I would say the are not quite yet where we want them to be. But it is our and the team's full expectation that we will recompete to the high eighty to ninety percent range. In relatively soon time. So I would say that's the going in assumption. Our new business win rates continue to be pretty good. And so as I said multiple times, we think about win rates on a blended basis. And anytime you bid let's call it twenty-eight billion and your blended win rates are thirty percent or forty percent, that should set you up for a good bookings year. And we've also indicated, as you know, Josh, in our own narrative here that our headwinds coming into this year are less than what we came into last year with, and that those headwinds include program transition and recompete. So we see that the if you will, the trend is improving year over year. We're not where we need to be, but we are better than where we were. And we are identifying. And we've also said the environment that we have right now may be one where there may be some movement right against some recompete as we look forward as the government is determining determining what constitutes their critical portfolio going forward. So we're we are focusing on program execution heads down, meeting all of our and exceeding all of the customer requirements, because as you know, the best way to to win in the recompete space is to deliver super well and bring innovation to that delivery. So the more we track that and the more we see that in our outcomes, we feel better about our recompete. Prospects going forward.
Josh Korn: Great. Thank you.
Operator: Thank you. And one moment for our next question. Our next question is going to come from the line of Tobey Sommer with Truist. Your line is open. Please go ahead.
Tobey Sommer: Thank you. Wanted to dig into the recompete win rate and maybe a little bit of a fundamental driver there. How are the company's CPAR scores trending In particular, on your larger programs because one would think that there's a probably a pretty strong connection between that and your expectation for improving win rates.
Toni Townes-Whitley: Hey, Kirby. Thank you for the question. We are reviewing I think we talked about a few quarters ago that we had put in more rigor our program review process to not only look at CPAR scores, but to ask a broader set of customers for their feedback on the program. So expand the customer base as well as to ask more questions about that delivery to include and most particularly around innovation. So those were changes we made to our process and what I feel better about than I did a year ago is that we're asking a broader set of customers We're asking about the innovation that's being delivered and both of those we found is a correlation to possibly having a fairly solid customer set prior or customer response prior but not having that fully correlate with a recompete win. So we feel like we're doing we've got all the levers and inputs and those outcomes from expanding the customer base and having more innovative conversations around innovation. We think are starting to show up, if you will, in results, positive customer feedback, And when they're not positive, we're being able to assess that and quickly intervene and introduce more from the portfolio So I think CPARS is absolutely a critical metric. But I think getting beyond to a broader audience and having a broader conversation is what we see as our way of future-proofing our position on recompetes going forward.
Prabu Natarajan: Toni, that was great. Toby, the only other thing I would add is you know, there's almost a counterintuitive correlation between CPAR scores and recompete win rates. And that is because customers that put us through recompete cycles expect real innovation to be delivered during the program. And so I think as Toni said, with enterprise operating model, the focus there around ensuring that we are bringing day-to-day innovation is gonna be really helpful. The other thing that does show up sometimes on recompetes how well you begin a program. And customers have long memories as they should. We do as well. And making sure that we transition programs effectively. And I think with the enterprise operating model, we've stood up transition teams and most recently on our Air Force NORAD Nights program. We did program review very recently that team has done an outstanding job relative to what the customer was getting from the prior incumbent on the program. So I'd say those are really important things. Again, heads to the ground. Do the right thing, and do it unfailingly well, and, hopefully, we survive the uncertain That's the approach.
Tobey Sommer: Thank you very much. My follow-up relates to NASA. We get your comments on what you're hearing from that customer and just given the proximity that that DOD has some business relationship with that customer. Curious whether this has been an area of more stability or more relative volatility relative to what you're hearing from other agencies. Thank you.
Toni Townes-Whitley: Hey, Toby. We haven't heard anything uniquely from NASA. We're not overly concerned of our positioning there. We have not had a signal of greater volatility in the spaces where we are. As you know, we do a bit of enterprise IT support there, and NASA. We have some parts of our pipeline. We've looked at our new business, both with pending award as well as what is moving forward that we will be bidding this year. We've got great partnerships in place with many of the sort of tech players that are looking at NASA. And so I don't see us as handicapping that business in any unique way, based on any signals we're getting at this point.
Tobey Sommer: Thank you.
Operator: Thank you. And one moment for our next question. We have a follow-up question from the line of Colin Canfield with Cantor Fitzgerald. Your line is open. Please go ahead.
Colin Canfield: Been clarifying. Necessarily a work. If you can clarify how much of that gets booked in fiscal one quarter twenty-six? I'm sorry. Any other What is it? Towards the recompete.
Prabu Natarajan: The SSO. The SSO award. Okay. Hey, Colin. Maybe I'll take a crack at this. I think, you know, maybe a little bit of a, you know, sort of a history premor here. So the way that this program works is the current program has to run off before the new program kicks in. And we still have a few quarters left of the current program. This was exactly what happened when we transitioned from the prior AMCOM program to S3I. So S3I into the next avatar of these programs is gonna look the same. As we sit here, obviously, we'll have our bookings decision to make in Q1 when we report. Like we do always, we look at $1.8 billion on the program as representing perhaps the run rate on the current program as SSLE has grown pretty nicely over the last few years. The team's done an amazing job and the $1.8 billion reflects the run rate on that program. Right now with some room for potential improvement. What that means for the net booking as we, you know, take some take some factoring on the previous version of it. I think that's probably as, you know, a few hundred million, I would say, on the prior program just given that that program is ending a little bit sooner than we might have anticipated. So that's sort of the net. Net should be comfortably over a billion dollars.
Colin Canfield: Okay. Got it. Got it. Appreciate that, Matt. And then maybe just on the prepared remarks, it looks like the margin improvement is driven a little bit of pie, We're focused investing on know, maybe biz dev or just kinda general cost and program improvement. So maybe talk a little bit about kinda where you're focused on driving savings and how you're balancing that versus investing for growth. And then just one kind of third part there is maybe talking a little bit about the algorithm for margin expansion in your backlog and whether that's more hardware driven and systems engineering or more enterprise IT and kind of more expertise type type work? Thank you.
Toni Townes-Whitley: Yeah. Why don't I take the first part, then I'll pass the algorithm question to Prabu. I love to pass algorithm questions. To Prabu anyway. So look. In terms of the margin side, we are looking at we've obviously got a very sharp eye to any internal investments. And making sure we have a very clear understanding from almost a growth mindset on what that return will be, and we are circumspect around those investments. We've made and yet in the same context, we are also looking at, as we've talked about, the margin improvement that we have in our bid pipeline. So we're incrementally improving on what we're bidding We are we are driving an underlying margin in our program execution, which was evidenced at Q4. We're looking, as I said, at investments, and we're also proactively suggesting where appropriate conversion on contracts that we have currently that may drive a more accretive position moving into more fixed pipe fixed price contracting. Again, I assume that to be a gradual process and to be customer connected. That's not something we can do unilaterally. As always, we are tight on our cost management and do a phenomenal job. I think the enterprise operating model has helped us see and understand in our program reviews, very solid cost management, This company runs with, I think, a great bit of scrutiny. On every dime spent. And we will continue with that in terms of driving. But the underlying core fundamental health of this business is improving. Quarter over quarter. We've seen that. And that includes the margin profile of the business. On the algorithm side, Prabu, thanks, Cody. Thank you, Toni.
Prabu Natarajan: I think the way we're thinking about you know, sort of you know, margin expansion opportunity is, you know, as we're bidding you know, things that are more accretive with the pipeline, we are also requiring folks that are bidding on recompetes to move margin rates So we're seeing that impact both inside of the things that we're competing on, recompeting right now, versus and and the new business front. Clearly, I think we have chosen to remain asset light. And we are not going to trade margin expansion for hardware intensity or balance sheet intensity And that philosophy, I think, in Toni's said it multiple times. I think we are gonna remain asset light in the way we approach it. So we're trying to do it in the good old-fashioned way, which is how do you get ten basis points, twenty basis points out of every single program that are going up for recompete and squeezing a little more margin. So focus is mission IT and enterprise IT. Our point of view is that if we are delivering real innovation to customers, customers are actually open having discussions around fee rates and transitioning certain cleans to fixed price. So I think that's really the focus, which is it will be foolish to just cut costs for the sake of cutting costs, and then stifling the growth engine inside the company. And that means, you know, every spring, we have the conversation around or we know, right-sizing some things and making sure that we don't stifle the growth engine for the company is one of the most important priorities that Toni and I and the leadership team have going through the cycle because that would be the easiest thing to do it's probably the worst thing we can do on a long-term basis. So that's the balance we're trying to strike. We don't always get it right. I know I screw up all the time, but the reality is that's what we aspire to do.
Colin Canfield: Got it. And the mid-year one last one on Science Applications International Corporation is a lot of, I think, focus on kind of efficiency and thematic stuff on the call. So maybe focusing more on SSC, but the spacecraft engineering solutions, can you just maybe talk a little bit more about aspirations for the business? I think SSC has stood up some small set integration but it sounds like there's some opportunities to leverage the digital engineering investments on the side of business to do you know, not so much hardware, but more to kind of, like, the back end of hardware. So maybe talk a little bit a little bit about kind of how you view Science Applications International Corporation's position in the in-house spacecraft designs, spacecraft integration, and the like.
Prabu Natarajan: Asset-like integration. So somebody else's payload, somebody else's bus, and focused on how do we put that together in a software-enabled way that focuses then on integrating the work and focused on the data that comes out of the platform. That's how we're thinking about that part of the business. So I don't expect us to become a systems integrator at scale building hardware for space. That is not our business. Yeah.
Toni Townes-Whitley: But leveraging digital I think you brought out correctly. Digital engineering and the number of the we highlighted these differentiators even last year in our overall investor conversation. Digital engineering is a core capability that the space and intel group are using to try to drive that integration going forward. And, look, we've got a few programs. You look at ground-based modernization, you look at the production satellites, all of that to Prabu's point is not about us being a builder of, it's an integrator across. And that's where we stay in our lane, and we bring I think, great value.
Colin Canfield: Got it. Appreciate the call as always, and thanks for your questions.
Operator: Thank you. Thank you. This is going to conclude today's question and answer session. Ladies and gentlemen, this is also going to conclude today's conference call. Thank you for participating, and you may now disconnect. Everyone, have a great day.